Operator: Good day, ladies and gentlemen, and welcome to the Etsy Second Quarter 2015 Financial Results Conference Call. [Operator Instructions] As a reminder, this conference is being recorded. I would now like to introduce your host for today's conference, Jennifer Beugelmans, VP of Investor Relations.
Jennifer Beugelmans: Thanks, Liz, and good afternoon everyone, and welcome to Etsy's second quarter earnings conference call. Joining me today are Chad Dickerson, CEO, and Kristina Salen, CFO. Before we get started, just a reminder that our remarks today include forward-looking statements relating to our financial performance and results of operations, business strategies, outlook, mission and potential future growth. Our actual results may be materially different. Forward-looking statements involve risks and uncertainties which are described in our press release and in our 10-Q filed with the SEC on May 22, 2015. Any forward-looking statements that we make on this call are based on our beliefs and assumptions today and we don't have any obligation to update them. Also during the call we'll present both GAAP and non-GAAP financial measures. A reconciliation of non-GAAP to GAAP measures is included in today's earnings press release which you can find on our Investor Relations website. A link to the replay of this call will also be available there and, if you'd prefer to access the replay via phone, you can find that information in the press release as well. With that, I'll turn the call over to Chad. Chad?
Chad Dickerson: Thanks, Jennifer, and thanks to everyone joining us today. We're eager to talk to you about the progress we made at Etsy in the second quarter. Our second quarter 2015 results demonstrate the strength of our overall business. This quarter, Etsy achieved growth in our key metrics. GMS is up nearly 25% and Etsy's revenue growth was approximately 44% year over year. We saw our number of active sellers increase approximately 25% to 1.5 million and our number of active buyers increased approximately 32% to 21.7 million. We also continued to expand our mobile presence and saw 60% of our visits and 43% of our GMS come to us through a mobile device in the second quarter. There's a lot we can be proud of this quarter but at the same time we recognize that we must make continued investments in both mobile and growth in international markets. As we've shared before, we're focused on four key areas, making Etsy an everyday experience, building local marketplaces globally, offering high-impact seller services, and expanding the Etsy economy. So let me give you an update on the progress that we've made recently in these areas. First up is our focus on making Etsy an everyday experience, which is all about mobile. We talked to you before about how we're leveraging our already strong mobile presence to increase engagement with Etsy buyers and enhance the Etsy seller experience. As of June 30th, our mobile apps have been downloaded nearly 28 million times compared with approximately 25 million as of March 31st. We continue to make progress on mobile and we still have lots of opportunity to improve by launching new products and enhancements. We're focused on creating a seamless experience on Etsy in order to attract new buyers to our platform, encourage engagement, and support relationships between buyers and sellers. To do this, we continue to introduce exciting new features, and I'd like to highlight a few of these launches for you now. Just last week we introduced an important update to search on desktop and mobile web. This update, which we call Exploratory Search, can now help buyers more easily find the items they're looking for on Etsy. One of Etsy's key advantages is that we have more than 30 million unique items that buyers can't find anywhere else. With no product SKUs, we're continually working on ways to improve our search capabilities and drive engagement across the marketplace, building on our deep technology expertise and capabilities with big data. Put simply, Exploratory Search makes search results navigation and browsing more intuitive to buyers, allowing them to more easily browse by category such as home or wedding, feature or product type. While still early, we're encouraged by the results of the tests we've run so far, which have shown increased engagement on both desktop and mobile. In our experiments, we saw more than a 10% overall increase in key search engagement metrics like listing click-through rates, with an even more pronounced effect on mobile web. Speaking of engagement, we know that our mobile apps offer a better shopping experience than mobile web, so we're taking advantage of two key technologies that drive usage from the lower-converting mobile web experience to higher-converting mobile apps. Google App indexing and deep-linking. As many of you may have already heard, we were early adopters of Google App indexing and we worked closely with Google during 2014, and we continue to improve app indexing our own throughout this year. App indexing means that users running organic Google searches on mobile web on their phones will go directly into the Etsy Android app when clicking on search results. We also launched our own deep-linking efforts late in the first quarter. Deep-linking seamlessly and automatically transitions buyers with our mobile apps from the mobile web experience to the mobile app when they encounter Etsy links anywhere. Both Google App indexing and deep-linking quickly take Etsy buyers using mobile web to the best and most productive experience for them, our mobile apps. Last quarter we also told you that we plan to launch our first ever app download campaign. To support both our paid efforts and discover the Etsy app in organic app store searches, we revamped the buy on Etsy app store listing. This work is enabling us to optimize the presence and relevancy of our apps, encourage downloads in both the iOS and Android app stores, and improve our category and search rankings. We're already seeing results in the U.S. app stores only weeks after making these changes. So for example, on the U.S. iOS app store, we recently ranked in the top ten for 18 of our target keywords, compared with just eight before the revamp. And in the U.S. Google Play store, we recently ranked in the top ten for five keywords, versus only ranking for the keyword "etsy" previously. We intend to localize this work to our key global markets. We believe we can continue to drive app download and usage building on our already strong foundation. So, turning now to building local marketplaces globally, we're focused on building Etsy's global foundation by developing local markets in key countries outside the U.S. where there are early signs of both local buyer and seller activity and where we can generate strong network effects. During the second quarter, Etsy's international GMS was approximately 30% of our total GMS, a decline from last year and about flat with the first quarter. While we think we're continuing to face headwinds created by the strong U.S. dollar, we also think we can improve our performance by continuing to invest in the strategies that have led to early successes. So for example, this quarter we once again saw strength in the U.K. market as we continued to roll out additional localization efforts. We saw a greater than 76% year-over-year increase in purchases by U.K. buyers and U.K. sellers. This growth rate was nearly five times the rate of growth for goods imported into the U.K. this quarter. We intend to apply the same types of localization efforts in our core international markets because we believe these activities attract sellers to Etsy, stimulate the local marketplace by connecting local sellers to buyers, and expand Etsy's brand awareness. Let's turn now to high-impact seller services. As we've talked about before, seller services let Etsy sellers spend more time doing the work they enjoy most: making, designing and curating, and less time on the administrative tasks of running their shops. Currently we provide three seller services that generate revenue for Etsy: promoted listings, direct checkout, and shipping labels. Over time, Etsy's goal is to increase usage of these three seller services, expand their geographic reach, and launch new ones. During the second quarter, seller services represented approximately 49% of total revenue. I'd like to highlight one enhancement added to promoted listings that demonstrates how we can help our sellers market their shops on Etsy. This feature is called Search Term Analytics and allows sellers to use promoted listings to see the search terms shoppers use that led to the seller's promoted listing being shown. We're also providing sellers with the search terms that generate higher clicks and orders on average. We believe this feature will help sellers learn more about what brings buyers to their shops. Finally, I want to update you on our progress expanding the Etsy economy. While the projects and pilot programs that we are highlighting are small, they provide a path forward to bring new members into the Etsy community beyond our current active sellers and buyers. In July we launched a pilot program in partnership with Lionsgate to allow sellers to create and sell licensed items based on The Divergent Series: Insurgent movie. Eleven sellers were selected to participate in the pilot in conjunction with the home entertainment release of the movie last month. The feedback we've received from Lionsgate is that this partnership is a wonderful way for the entrepreneurs who sell on Etsy to create merchandise that is inspired by fans and made for fans. We believe that partnerships like this demonstrate our strong relationships with brands, and we look forward to exploring other opportunities like this in the future. Before I turn the call over to Kristina, I want to acknowledge another significant milestone that we reached this past quarter, our ten year anniversary. Etsy was born out of a simple idea that an online marketplace should exist to create creative entrepreneurs with buyers in search of unique goods. As we've continued to execute on our mission to reimagine commerce, Etsy has come to represent a powerful alternative to traditional commerce and a different people-centered model for doing business. We're continuing to build for the long term and we believe that Etsy will continue to have a positive impact on our global community in the years and decades ahead. To celebrate our 10th year, in mid-June we organized a mass volunteer mobilization event for Etsy employees. And in total, Etsy employees volunteered over 600 hours company-wide. We're proud of the positive impact Etsy employees have had on our global community over the past 10 years. We remain focused on creating positive and sustainable results for our entire community, including our shareholders. We believe our four key areas of focus, making Etsy an everyday experience, building local marketplaces globally, offering high-impact seller services, and expanding the Etsy economy will allow us to build a successful business and community for the long term. We appreciate the opportunity today to report our progress. And with that, I'll hand it over to Kristina to go over our financial results in more detail.
Kristina Salen: Thanks, Chad, and hello to everyone joining us today. Just a note, unless I say so, all the comparisons I'll be talking about here are on a year-over-year basis. So let's start with GMS. During the second quarter of 2015, the Etsy marketplace generated $546.2 million in GMS, up 24.6%. Growth in GMS was driven by growth in active sellers and in active buyers. At the end of the second quarter, Etsy had 1.5 million active sellers, up 24.6% from 1.2 million last year. And as a reminder, an active seller is one who's incurred at least one charge from us in the past 12 months. Also at the end of the second quarter Etsy had 21.7 million active buyers, up 31.6% from 16.5 million last year. Also, as a reminder, active buyers are those who have made at least one purchase in the last 12 months. Etsy's second quarter results demonstrate our continued year-over-year progress in narrowing the gap between mobile visits and mobile GMS and highlighted the results of continued improvements in our mobile app offerings. Approximately 60% of our visits came to us from a mobile device. This continued to outpace the rate of growth on desktop and was up 700 basis points year over year and 100 basis points quarter over quarter. About 43% of our GMS came from a mobile device, also up 700 basis points year over year, but flat quarter over quarter. Etsy's international business continued to expand, with international revenue growing 57.5% in the second quarter. However, percent international GMS declined to 30.2% in the second quarter of 2015 from 30.9% last year and was roughly flat quarter over quarter. As a reminder, percent international GMS is the percent of GMS from transactions where either the billing address of the Etsy seller or the shipping address of the Etsy buyer is outside the United States. We continue to believe that we can grow percent international GMS over time to represent 50% of our total GMS. However, currency exchange rates have continued to affect Etsy's GMS growth in two ways, that impacts both overall GMS growth rates and percent international GMS. The first way, currency exchange rate fluctuations have a direct impact on the translation of our non-U.S. dollar denominated GMS. Approximately 9% of our GMS is from items that are listed in non-U.S. dollars. And as a result, these items are subject to the impact of currency exchange rate fluctuations. On a currency-neutral basis, GMS growth in the second quarter would have been 1.9 percentage points higher or 26.5% growth, compared to the 24.6% growth we reported. In the second way, we believe currency exchange rate fluctuations have an indirect impact on buyer behavior as well. We believe local currencies in key international markets continue to dampen the demand for U.S. dollar denominated goods. For example, during the second quarter, GMS from international buyers purchasing from U.S. sellers declined approximately 6% year over year. This compares with approximately 43%, 23% and 0.3% year-over-year growth in the third quarter 2014, the fourth quarter of 2014 and the first quarter of 2015, respectively. In contrast, excluding our French subsidiary ALM, GMS from international buyers making purchases from sellers in their own country grew more than 50% year on year during the second quarter. While this segment represents just a small percentage of our overall GMS, we're encouraged by this growth, which significantly outpaced the growth of our overall GMS this quarter. Based on the direct impact of currency translation of our non-U.S. dollar denominated GMS and our assumptions surrounding the indirect impact of currency exchange rates on buyer behavior outside of the U.S., we believe that we saw low-single-digit drag on our overall GMS growth rate in the second quarter. Turning to revenue. During the second quarter, total revenue was $61.4 million, up 44.4%, driven by the growth in seller services revenue and, to a lesser extent, growth in marketplace revenue. Marketplace revenue grew 23%, primarily due to the growth in transaction fee revenue and, to a lesser extent, growth in listing fee revenue. Seller services revenue continues to grow faster than GMS, up 79.5%. This growth was primarily due to growth in revenue from promoted listing, which continue to benefit from the relaunch of the product late in the third quarter of 2014. Shipping labels revenue growth was driven by a combination of increased adoption, enhancements to the products, and an increase in the overall number of orders shipped. Direct checkout revenue growth was driven by increased adoption and TMS growth overall. Gross profit for the second quarter was $39.5 million, up 56.8%, and the gross margin was 64.3%, up 510 basis points. Similar to the first quarter, in the second quarter, gross profit grew faster than revenue. This was because of the leverage we achieved in the cost of revenue for employee-related and hosting and bandwidth costs. This was also because of the growth of promoted listings which you may recall is a higher-margin revenue stream and which outpaced the growth of direct checkout which as you may recall is a lower-margin revenue stream. Turning now to operating expenses. Etsy's total second quarter operating expenses were $43.2 million, up 49.3%. Marketing expenses totaled $15.5 million, up 77.3%, representing 25% of total revenue versus 21% last year and 21% in the last quarter. The increase in marketing expenses continues to be driven primarily by increased spending on Google product listing ads and higher employee-related expenses. As a reminder, we have a measured and balanced marketing strategy. We make conservative assumptions about how page traffic will perform compared with organic traffic. And we remain committed to achieving positive ROI at the aggregate company level on our marketing spend. Finally of note in our marketing expenses in the second quarter, we're approximately $300,000 in IPO-related marketing expenses, that were not deductible from our IPO proceeds and that we disclosed in our last quarter. Product development expenses totaled $10.1 million, up 14.6% year on year, representing 16% of total revenue, versus 21% last year and 17% last quarter. The increase in product development expenses was driven by higher employee-related expenses as we continued to grow our product and engineering staff. G&A expenses totaled $17.6 million, up 54.7%, representing 29% of total revenue, versus 27% last year and 35% last quarter. The increase in G&A expenses primarily resulted from an increase in employee-related expenses and the one-time $300,000 cash contribution we made to Etsy.org in the second quarter. Headcount at the end of the quarter was 757, compared with 717 as of March 31, 2015 and 685 as of December 31, 2014. Non-GAAP adjusted EBITDA was $4.1 million, up 18.3%. This resulted in an adjusted EBITDA margin of 6.6%, down 150 basis points year over year. The adjusted EBITDA margin was impacted by the increases in marketing and employee-related expenses that I just talked about. Second quarter 2015 net loss was $6.4 million, compared with a net loss of $3.2 million. Last quarter we discussed two non-cash, non-operating expenditures: intercompany debt and our tax provision. Both of these related to the revised corporate structure we implemented on January 1st of this year. As a reminder, the revised corporate structure was implemented to more closely align with our global operations and future expansion plans outside of the U.S. This quarter, Etsy's net loss was again impacted by these same factors. Regarding the intercompany debt, net loss was actually favorably impacted by a $5.8 million non-cash, non-operating currency exchange gain. This compares to a currency exchange loss of $20.9 million last quarter. However, largely offsetting this non-cash, non-operating gain, we recorded a $4.9 million tax provision, of which $2 million was non-cash. This compares with a $10.7 million tax provision last quarter. We expect that, in absolute dollars, the first quarter tax provision of $10.7 million will be the highest of 2015. During the quarter we generated $4.7 million in cash from operations, compared with $700,000 in the second quarter of 2014. As of June 30, 2015, following the successful completion of our initial public offering, we had cash and marketable securities totaling $268.2 million. To close, I'd like to highlight a few factors we should consider when thinking about Etsy's third quarter of 2015. Although we won't be providing quantitative guidance, we will continue from time to time to highlight qualitative factors to keep in mind that could impact a specific quarter. For the third quarter 2015, I'd like to highlight four items, most of which we've discussed previously. First, just like we conveyed in the first quarter 2015, if currency exchange rates remain at current levels, GMS growth related to goods that are listed in non-U.S. dollars will be directly and negatively impacted by currency translation. We also believe that currency exchange rates would continue to have an indirect impact on GMS growth by affecting the behavior of buyers outside the U.S. and dampening their demand for U.S.-dollar denominated goods. Second, similar to what we conveyed in the first and second quarters, we plan to spend more on marketing in absolute dollars in the third quarter, compared with both the second quarter of 2015 and the third quarter of 2014. Etsy's digital marketing spend will continue to be focused on search engine marketing, primarily Google product listing ads. I think it's important to remind everyone that, while we are deliberately increasing our marketing spend, unique to an internet e-commerce company of our size, we have spent relatively few dollars on marketing historically. In fact, even today, roughly 90% of our traffic comes to us directly from organic sources. Third, also similar to the second quarter, we expect to increase the pace of hiring in the third quarter compared with both the second quarter of 2015 and the third quarter of 2014. As a reminder, our hiring tends to increase as we move throughout the year and it's also increasing year over year to support the anticipated needs of the business. And finally, we'd like to remind investors that, by the end of third quarter 2015, we'll mark the anniversary of the full relaunch of promoted listing, which has been the biggest driver of seller services year-over-year revenue growth this year. As we approach this anniversary, we would expect promoted listing revenue growth to decelerate. And with that, thank you for listening, and I'll turn the call back to our operator Liz to open it up for questions.
Operator: [Operator Instructions] Our first question comes from the line of Heath Terry with Goldman Sachs. Your line is now open, please go ahead.
Heath Terry - Goldman Sachs: Great. Thanks. You've talked a good bit in the past about the effectiveness of the initial investments that you've been making in marketing, and I was wondering if you could just give us a bit of an update on the, you know, where the ROI that you're seeing there is falling. You mentioned the incredibly strong organic traffic that you're seeing. Wondering where the rest of that is coming from and how those efforts are shaping up relative to your expectations.
Kristina Salen: Great. Hi, Heath. So as you point out, organic traffic continues to be a significant percentage, 90% of our traffic. And that is a high-class problem, so to speak, and very different from most of the e-commerce companies that are out there. When we look at the GMS that's generated from organic traffic, I think it's safe to assume that that also represents the vast, vast majority of our GMS. Pay GMS, the GMS that is generated from these direct marketing efforts, is growing faster than organic GMS, a multiple of organic GMS, which we take as a positive sign of the returns of our marketing dollars. One of the things that I would remind everyone of is, prior to 2014, we hardly marketed at all. Indeed the percentage that we spend on marketing as a percent of revenue within the low-teen. Beginning in 2014, we started to amplify that. And in reality, the growth rate of our marketing spend is decelerating from a triple-digit percentage growth in 2014. That being said, we continue to apply the conservative attribution model that we use to allocate every single marketing dollar that we spend, that assumes that paid traffic has lower returns than organic traffic. It assumes a very conservative two-year return rate. And that's conservative because historically we've been much more successful in retaining our buyers over the long term. And it forces marketing spend to be ROI-positive at the aggregate level for the Company, meaning that our total marketing dollars are ROI-positive even if in one country we might be breaking even or slightly negative. So all of that rigor has been maintained with the increase in marketing spend both in this quarter and last quarter, and we'll continue to maintain it in future quarters.
Heath Terry - Goldman Sachs: Great. Thank you. That's really helpful. And then I guess one more. Given the growth that you're seeing in seller services, can you update us a bit on the breakdown of mix there between direct checkout and product listings and shipping?
Kristina Salen: Sure. Well, I'll repeat what we said in the past. We aren't breaking it down between the three specifically. We'll likely provide annual updates in terms of penetration.
Heath Terry - Goldman Sachs: Okay.
Kristina Salen: But the information that we've given in the past with regard to the breakdown remains. Shipping labels is the smallest because it's booked -- because it's booked net. Direct checkout and promoted listings are very similar in terms of their contribution to overall seller services revenue.
Heath Terry - Goldman Sachs: Okay, great. Thanks, Kristina.
Kristina Salen: You bet.
Operator: Our next question comes from the line of Brian Nowak with Morgan Stanley. Your line is now open.
Brian Nowak - Morgan Stanley: Thanks for taking my questions. I have two. The first one, on the buyer growth. I think this sequential absolute buyer growth is around 860,000, was the fewest we've seen. Understanding that you're committed to generating positive ROI and kind of remained disciplined on the marketing spend, can you just talk to us about how you think about kind of accelerating this buyer growth going forward, or is that not something that we should think about in the model in the near future? And I have one follow-up.
Kristina Salen: Thanks, Brian. So your question is, should we think about accelerating our active buyer growth? And you're specifically linking that fact to marketing. I think it's important to remember, again I'll just reiterate the point of our maturity GMS coming from organic, the vast, vast, vast majority. And so as we think about active buyers, we're thinking about activating or increasing the engagement of our existing buyers, and then, yes, bringing on new buyers through paid acquisition. So when we think about the active buyer growth rate number, we don't have as an explicit goal to accelerate active buyer growth. What we're focused on is increasing the engagement of our existing buyers and bringing in high-quality new buyers, which fits [ph] that ROI matrix that I lead [ph] out. But what I would also highlight is it's important to think about our active buyer activity from quarter to quarter in terms of seasonality. And so, historically, if you look at third quarter and fourth quarter, does tend to be, I guess for obvious reasons given holidays, tend to be more active from an active buyer perspective, whether it's an existing buyer and her level of engagement, or new buyer acquisition.
Brian Nowak - Morgan Stanley: Great. Then as a follow-up, I appreciate the color again on the international buyers purchasing from U.S. sellers down 6%. Just a couple -- what percentage of international GMS is that at this point? And how fast did that grow in 2Q14? Thanks.
Kristina Salen: Sure. We haven't disclosed the breakdown of all of the buckets, but what I would say, just to give some more color on that point, is that our largest bucket of GMS by far is U.S. buyer to U.S. seller. And intuitively it makes sense. Our largest community is buyers, 21.7 million active buyers, and we disclosed in the past that the majority of them are U.S.-based. And then we look at our seller community, 1.5 million active sellers, and we've disclosed that the majority of them are U.S.-based. So you put that together, U.S. seller to U.S. buyer is the vast majority of our GMS. If you look at -- if you look at the smallest bucket, the smallest bucket of the five that we look at is international seller to international buyer in the same country. And that's the piece that we're really trying to grow with our build local marketplaces globally. It is the smallest by far and it's growing he fastest. So we're very encouraged by the growth rate that we're seeing, it's sign [ph] that our international strategy is working. But all of the other buckets, whether it's U.S. seller to international buyer, international seller to U.S. buyer, they all are small relative to the big bucket of U.S. buyer to U.S. seller. And then to answer your last question, second quarter 2014 growth rate of the metrics that you referenced was in line with the fourth quarter range, similar to the fourth quarter and third quarter.
Brian Nowak - Morgan Stanley: Great. Thank you.
Operator: Our next question comes from the line of Gil Luria with Wedbush Securities. Your line is now open.
Gil Luria - Wedbush Securities: Thank you. Wanted to follow up on that question. You're very helpful giving us the growth rates for international to international and international from the U.S. Would you mind giving us the complements, so, U.S. to U.S. and U.S. buyer from international seller?
Kristina Salen: No, I'm sorry, Gil, we're not breaking out all of the individual growth rates of the five buckets of GMS. We're breaking out that U.S. seller to international buyer to highlight that indirect impact, to try to get some color around what we think that indirect impact is on our overall GMS growth rate and to help investors better understand how to think about the impact of FX going forward.
Gil Luria - Wedbush Securities: Got it. Thank you.
Kristina Salen: You're welcome.
Operator: [Operator Instructions] Our next question comes from the line of Tom Forte with Brean Capital. Your line is now open.
Tom Forte - Brean Capital: Can I ask you a couple of questions on some initiatives you launched during the quarter and what they might mean to the business near term and longer term? The first is you launched a crowdfunding effort, and then wanted to see where you are on your small badge manufacturing certification, for lack of a better way of putting it, basically giving your sellers the opportunity to work with small badge manufacturers that you've certified as a way to expand their businesses. And then I had a follow-up question after that.
Kristina Salen: Sure. Thank you, Tom. So, starting with the crowdfunding to fund our Etsy initiatives, that initiative is so incredibly early at this point that we don't have, yes, specific results to report. Very much a pilot program, but something that we're watching really closely. The second question, around responsible manufacturing. At this point we have 4,700 sellers in that program and 7,900 manufacturers. And it's important to note that 85% of those relationships are between sellers and manufacturers in the same country. So our manufacturing program is largely a local phenomenon when it comes to country.
Tom Forte - Brean Capital: Great. And then I recognize that a lot of your advertising efforts have been focused on product listing ads and Google. But you're starting to see more and more social networks like Pinterest launch buy buttons, and I would think you're a natural to leverage that opportunity. How should we think about Etsy's ability to leverage those buy buttons on a go-forward basis?
Kristina Salen: Sure. So we see buy buttons as a great potential advertising channel for our sellers, and we've been talking to all the major platforms, learning about what possible integrations might look like. I think the buy button ecosystem at large is still very early and everyone has kind of a different standard. One of the things that we're trying to figure out is, when we look at Etsy, one of the most important aspects of Etsy is the person-to-person connection. And we find that many of our transactions on Etsy involve conversations between the buyer and seller. So that's something that buy buttons really don't make possible. So it's something we're thinking about. We did run a pilot test with Tumblr where you could buy within Tumblr. That generates some conversion. But it's a fairly small pilot. But it's something that we're watching really closely and continuing to talk to the various platform partners. But overall we think it's a great opportunity potentially for our sellers.
Tom Forte - Brean Capital: Great. Thank you very much.
Operator: I'm showing no further questions on the phone lines at this time.
Operator: Ladies and gentlemen, thank you for your participation in today's conference. This concludes the program and you may now disconnect.